Paul C. Reilly: Good morning and welcome. I'm joined here by an all-star cast of Jeff Julien, Tom James, Steve Raney, Jennifer Ackart, Paul Matecki and Chet Helck. So you'll be able to ask any questions and some numbers that have a little bit of a noise going in and out. But all in all a very, very strong year and I think a very solid quarter. Of course, this marks our 95th consecutive quarter of profitability. Something we don't like to forget here. We've performed through all markets here up and down and very proud of the results and reflecting just for a second on our year results, up 14% for a record net revenue, $3.33 billion and up 22% for a record net income of $278 million. I don't think there are too many companies that will report this year who haven't gone through acquisitions, record numbers on both lines. If you really think about it, some $450 million of pretax income with a net ARS charge of around $41 million or $42 million this year and if you added back income potential from spread on cash of $90 million potential we talked about, there's an awful a lot of earnings power here at Raymond James and I think it's a very, very solid year. The quarter had a little bit of noise moving through it. I'm going to have Jeff go through some of the tax provisions and things a little bit later but net-net, if you look at our GAAP EPS it was probably boosted a little bit by around $0.02 with ARS and about $0.04 for really downdraft from the COLI adjustment on taxes and some other tax adjustments that we'll get into a little bit later that probably bunched up in the quarter. But if you look at operating earnings, very, very solid for the quarter also given a very, very uncertain market. There are 4 kind of separate stories in here. If you look at our major segments, there's the PCG segment, performed extremely well. We know that the S&P was down 14.3% to 500, our assets under administration down only 8% and revenue only down 1% so very, very strong performance in the PCG segment, really driven by record productivity. Our employee channel about $543,000, which is a record; our independent channel about $357,000; and RJL, $373,000 all kind of record productivity numbers from our financial advisers. Although net recruiting was up slightly in terms of financial adviser accounts, we're seeing a fairly significant lift in the number of people looking at Raymond James and coming through for visits as there seems to be, especially on the employee side, a much more interest in our platform and interest in moving from certain firms. So all in all, we had a very strong performance in the quarter aided a little bit by that a good percentage of our assets are billed in advance, which will be a little challenge going into the next quarter, a little bit of the headwind for this segment as you know as with the assets down and our pre-billings as we go into the next quarter put a little bit a drag on PCG but very, very strong and well-positioned. Our Asset Management business similarly had a very strong quarter and year, up 54% really pretax over last year's fourth quarter. Our assets under management were down 12% but we've experienced very good inflows into the business with the Dow down and, again, I think very solid performance given a very, very rocky market. Raymond James Bank. We're kind of proud that loans were up almost $300 million for the quarter and that's before the Allied Irish Bank acquisition, which did not happen in the quarter as we talked in the operating release. We expect that to happen next quarter. A little bit of noise that Jeff will probably get into a little more detail but if you really look at our net interest rate spread, it's biased a little bit by about a $1.3 billion in extra deposits and the reason those deposits are in there is that with capacity in our bank sweep program being pretty well maxed out, we were able to put those deposits into the bank and get FDI insurance and earn a smaller spread but a spread, a positive spread for the company and a return for our clients and some FDIC insurance. If you took out those extra deposits, our spread was down slightly from 347 bps to 333 bps so we've been talking about a target being near closer to 325. And you can see, it came down slightly but still very, very solid. Credit quality continued to improve and I think the bank has performed very, very well. We also have a refiling, it's a technical refiling of our bank holding company application, given that our application's been out for a long period of time through auction rate securities and other issues, we technically have withdrawn it, resubmitting it but expect approval very quickly into this quarter and expect that to be completed this quarter so I call it more of a technical change than a change in direction for the bank holding company application and conversion. Capital markets was kind of the story for the quarter just because there's a lot going on as we've read and other company's even generating losses in their capital markets segments. We did not, despite the difficulty in this market. Our IPOs, the IPO market was basically shut for 2 months as we all know. And ECM and the secondary offerings faced a very, very difficult market. As you see from our stats, which don't always really indicate the volume but indicate direction, our number of legion-managed deals between Canada and the U.S. were down from 15 to 8. Commission volume was down 9% domestically on the equity commissions for ECM, so very challenging market going up, going into the quarter. In spite of that, if you look at the results, we've continued to build out. We've had a number of very senior tech hires we've announced, senior new tech hires during the quarter. We have the Howe Barnes acquisition closing previously where we're still carrying people also. Those markets, the big market's been a little slow. It's all the investment banking businesses really have been. But even with all that, you can see the results were still positive. Tax Credit Funds had a strong month with help and our M&A activity was very strong that if you look at M&A revenue it was flat really from the last quarter than the preceding year's last quarter, but those we're very, very strong quarters for us in the M&A business. So and backlog in all the business, both in banking and in M&A look very, very robust. Obviously, we think M&A will continue to perform pretty well. The Banking business is going to depend really on the capital markets going forward, which are certainly uncertain. Fixed income because of a low interest environment, rate environment, the flat yield curve, the U.S. domestic downgrade, the noise to Europe, it's been a very challenging business. We eked out what I call a trading profit for the quarter, very, very small in fixed income. Commissions were up 11% though over the last quarter. I guess it was the positive news but very challenging market and has continued to be challenging into this quarter. So with all that, we're still slightly profitable in the capital markets business, which I think is a good sign. And with the pickup of the market, I do think we have earnings power there also. So that was kind of the overall from a business segment standpoint. I'm going to turn it over to Jeff to give us a little more color on some of the numbers and then talk about going forward a little bit. Jeff?
Jeffrey Paul Julien: Let me talk just to -- add a little color to each of the segments or to some of the segments. Within the Private Client Group segment, this past quarter, we've done -- we continue to do recurring revenue calculations to steer our businesses in that direction and for the quarter, about 60% of the Private Client Group revenues are recurring revenues, which is the highest it's ever been and again, that's without interest earnings that we've -- at the same spread level we've historically been used to which would increase that number even further. It was as I know you noticed, I hope, in the press release, the FA count has resumed its upward climb at least. It was up 20% for the quarter and 23% for the year, not robust net recruiting results but at least moving in the right direction. And then Paul mentioned assets under administration while they were down 8% for the quarter, they were up 3% for the year so we still had a slight increase year-over-year. People ask me a lot how much are your assets under administration correlated to the move in the equity markets. I've told people that it's not scientific but about I think about 60% to 65% of our assets are equity-related. We have to get a little better at looking through mutual funds and annuities and other packaged products to really tell and the 8% move this quarter relative to the 14% move in the S&P 500 sort of bears that out but that's about the right sensitivity. In the Asset Management sector, assets under management, which are more closely tied to the equity markets as that's the vast majority of our managed assets, they were down 12% for the quarter but again, up 7% year-over-year and that's in the face of a slightly down S&P so that obviously shows we've had good net flows throughout the year in that segment. Standing on the bank just a little bit, the loan growth for the year was about $450 million and about 2/3 of that came here in this last quarter. So we've had a lot of late loan growth in the bank as we finally have identified some opportunities, particularly in the secondary market. The net interest spread, we are carrying, I guess on average in that quarter, about actually $1.3 billion of cash above and beyond our normal cash liquidity level. We didn't strip out all the cash in getting to the adjusted rate. We just stripped it down to our traditional liquidity levels in the bank, which gave us that 3.33% spread that you see in the press release. We will continue to report that this way as long as we're carrying these cash balances in excess of our targets. Again, they don't hurt us right now. They're good for earnings and ROE. We put them into the Fed which is a zero-risk weighted asset class so it's not hurting any of our capital ratios other than the TCE ratio, the total assets and we're sensitive to that as well. But it's been certainly a negative to the overall spread. That's why we'll continue to report it both ways. Paul mentioned credit quality, this provision of $5.4 million for the quarter. It's the lowest we've had in quite a while and $33.7 million for the year compares to $80.4 million in the prior year so a 58% improvement, which we hope that any future growth in the provision from these levels we hope is related to actual growth in loan balances, not credit problems. Some overall comments. On the P&L you may have noticed we added a line item called account and service fees. We had various fee revenues flowing through what was formerly called financial service fees and also some of them flowing through other revenues and it was somewhat confusing, and I will say it's even internally, which ones belong to where so what we have done is combined all the fees that we get from clients and vendors, et cetera, into account and service fees into 1 line item. And we will be putting a table in MD&A that shows the major components of that line item because it's a fairly big number as you can see on the income statement. That would give you better detail over that and I think that's a better presentation, particularly with the detailed table. We had a slight ARS reversal in the quarter. We were estimating in June about $45 million charge, a valuation charge on what we thought we would repurchase. It turned out we ended up buying less than we thought we would. We reserved for everyone that was eligible. Everyone that was eligible didn't respond or has already liquidated another place or, et cetera, et cetera; or had they cut it out and we never found the people, et cetera. So we ended up buying about $245 million face value of ARS versus $280 million to $290 million estimate that we had originally and that resulted in a $41 million valuation reserve versus the $45 million that we were estimating. So we had a $3.5 million reversal here in this particular quarter. I would expect that to be -- we won't even have that line item going forward. Whatever little activity there is, over time, will probably just be in the other category. By the way, now that we've combined these account and service fees into 1 line item, there's really very little flowing through the other revenues and the biggest, probably the single biggest item that'll be going through there is the write-ups and write-downs in private equity that we have had in the past, particularly in the prior quarter that we've talked about last time. For the entire firm, recurring revenue was, not much change right on 55% for the year. We're again still hopeful that over time, particularly with interest, that, that increases. Tax rate obviously was very distorted this particular quarter. As I've seen in some of the notes already this morning, COLI was the biggest factor. We've been victims of this before in both good and bad markets. It does distort our tax rate as we have about $120 million, going into this quarter, of face value -- of life insurance value that suffered about a $15 million loss in the quarter, which is a nondeductible loss. That was about 5% additional on the tax rate for the quarter. The other couple percentage points really relate to truing up our actual expense for the year as we complete some of the returns and estimates to what we had provided throughout the year. And what we have found is that as more states get aggressive and requiring consolidated returns and some are even raising rates. We've had 1 raise and I guess a couple on tap to raise rates next quarter and get more aggressive in interpreting what's includable in their state's revenue and get more aggressive about auditing, et cetera, that our overall state tax provision was a little light and we will be adjusting that going forward. And for those of you doing models, we'll probably end up using a 39% blended rate or something going forward in 2012 to reflect that. So that really is a lot of that this last 2% of the tax provision belonged throughout the year but it all was a catch-up in this fourth quarter. The ROE for the quarter was 10.7%, for the year 11.3%. But if we eliminate the ARS activity for the year, it was about 12.25%, so still at the very low end of the range that we'd like to see. Again, we're not enjoying the interest earnings that we traditionally would and we've talked about that ad nauseam but we also had no capital markets help in this particular quarter and year, relative to the prior year. We have repurchased through the end of September, in the last 45 days of the quarter, we had repurchased 637,000 shares and as of today, in the last 60 days as we mentioned in the press release, we have repurchased a little over 1 million shares of our stock at what we would deem to be advantageous prices as we had some dips in our stock that we think made it a compelling value. And unlike 2009, we had sufficient liquidity to feel comfortable going into the market and repurchasing those shares. Book value per share is reported at $20.99. I will also tell you that tangible book value per share is $20.41. That's a number I know that people like to report, at least in our peers. Comp ratio was up slightly in the quarter, predominantly on the drop in revenue in capital markets. But for 2011 versus 2010, it was actually down slightly for the year. But in all the periods for this particular year, it's been in a very, very tight range around that 68%, 69%; 67% to 69% range, I guess I'll call it. So it hasn't been a huge variation from that. On a positive note, we did not gross up our balance sheet to comply with the thrift -- qualify thrift lender requirements as we have in the last 3 years. So when you see our balance sheet for 9/30/11, it will be our true balance sheet not with several billion dollars of overnight borrowed cash on it. We have not completed our conversion, as Paul reported. But the OCC I guess feels comfortable enough that it's imminent that they did not require us to go through those gymnastics at this particular year end. And hopefully, we won't have to do that again now. And looking forward, which Paul can expand on here in a minute, a couple of key points. One is that billable rap assets, which is a number that's important for PCG predominantly, the billable rap assets were down 6% on 10/1 versus July 1. So that's a little bit of a headwind going in to this next quarter but on a positive note I pointed out the bank had a lot of late loan growth, which -- so the interest earnings will be reflected here in this next quarter and the rest of next year but -- so with that, I'll turn it back to Paul and wrap it up and then we'll take questions.
Paul C. Reilly: Thanks, Jeff. I know the tax rate added a bunch of noise in under a 999 system, it might have been a little easier to estimate them, but we're not in that environment today. So I do think that the pressure on the tax rate will be up next year as the states have been a little bit higher and we have some more nondeductible items. So the short-term outlook is just uncertain because that capital markets, the company's balance sheet is in strong shape. We continue to add people in all of our businesses strategically, very good people, and we'll strategically add if the market allows us to. So we're still focused on recruiting for areas in all of our businesses. Obviously, a little more cautious in the markets area but if there are dislocations of very good people or businesses, we'll continue to look at them. So I think overall, the company's in great shape. We believe we're well-positioned. But obviously, in the market we're in right now there's some uncertainty in terms of looking to this coming quarter but we try to keep a long-term view. We'll manage expenses and continue to focus on building our business and just work through this uncertainty period, which I hope resolves itself. Maybe we're a little less optimistic on the government solving the deficit in the short-term to the election but that's something we'll all have to work through. So with that, you probably have a lot of questions in some of the activity through the numbers this quarter so I'll go ahead and, Chris, I'm going to turn it over to you to get questions.
Operator: Your first question comes from the line of Hugh Miller with Sidoti.
Hugh M. Miller - Sidoti & Company, LLC: Had a question I guess obviously, your PCG segment held up, as you mentioned, very well, given the exposure to fee-based accounts and so forth. But just wanted to get your view on still a volatile environment here and kind of what you're hearing from brokers about retail activity levels and their willingness to stick to their investment plans and so forth and what you're seeing there even into October?
Paul C. Reilly: I think what you're seeing is just you're seeing people sticking very closely to it. Obviously, cash is up some and people have been more cautious but actually have been positively surprised that both advisers and clients have been sticking closely to their investment plans. Obviously, those with less risk tolerance or closer term issues have had to adjust but people have hung in there. Now I think the individual investor isn't any different than corporate America is being cautious, trying to figure out what's going on looking forward. But I think they've hung in there pretty well.
Hugh M. Miller - Sidoti & Company, LLC: And you mentioned, obviously, we saw a slight pickup in net advisers during the quarter. You mentioned that home office visits are improving and there's interest in looking at Raymond James. What do you really see as a driving factor of that and your expectations for recruiting as we head into fiscal '12?
Paul C. Reilly: I think it's just, first, we've had a very stable platform and we've had a number of our competitors, especially larger competitors that continue to have a lot of news and advisers, others that have been -- some through acquisitions by those companies have been in environments they haven't enjoyed. And as their companies get in the news, I think they're interested in looking for platforms that they view are stable and maybe represent the platforms they grew up in. So as retention wears off in some places, environment changes, honestly, slowdowns are good for people to take a pause and look and say when you're really, really busy doing well, you're less inclined to stop and look around. When it slows down a little bit, you're more willing to look around and our platform's been very, very consistent. The service level is high. We're very adviser-centric and when people pause, they look at us. And so the good news of a downturn, if there is one, we're not rooting for one, is that we tend to do very well in recruiting. We'd rather win in a competitive growth environment but if it's slowing down, I think that's a positive to us and, again, as other people make changes, and other competitors, we tend to be stable and we get an influx of people looking at us.
Chester Bee Helck: Well, I agree with that. I think that the other sort of macro factor that you have to recognize is that Raymond James brand has really come through this market cycle much stronger relative to the competition than we went into the cycle. And so with all the numbers that we see in brand strength, measuring the metrics from both the retail side, I mean the client-side, the investor side as well as from the professional side talent and we have a great deal more respect and just knowledge out here. People know who we are now. They respect who we are and when people decide to make a move, we have -- more frequently get a chance to talk to them than maybe we would have 5 years ago or certainly 10 years ago. So we've become a bigger, stronger company.
Hugh M. Miller - Sidoti & Company, LLC: I appreciate there's a color insight there. Of the retention award that you saw kind of given out, following the recession, to advisers for them to stay in companies, what's the typical duration of what you're seeing from those and are we coming up to any points where their obligations, maybe completed in making kind of look to go elsewhere without having to repay a substantial portion of that retention?
Paul C. Reilly: They vary by company. And when people joined and also, there are certain firms that do have awards coming up in this coming year, so probably don't want to go into too much of that detail. We know where the flow's coming from right now but there are, there is just more activity because of all those factors.
Jeffrey Paul Julien: I think, Hugh, they probably ranged from 3 to 7 years, something like that. So we're starting to see the early ones come off.
Hugh M. Miller - Sidoti & Company, LLC: Obviously, we've seen an interesting dynamic over the last quarter in the equity fund flows and was wondering whether or not your discussions with prospective asset managers, have those kind of changed at all, have expectations changed at all? And what are the dynamics of those discussions?
Paul C. Reilly: I guess we're all kind of pausing, pausing a little bit here. I don't think we've seen any major shifts in the short term. Obviously, we're all aware of where funds are flowing but been relatively stable, nothing major changed recently.
Hugh M. Miller - Sidoti & Company, LLC: You're still not kind of seeing expectations for pricing that's come in, none of the discussions you're having with the people that you'd like to kind of to acquire.
Paul C. Reilly: You're talking about acquiring people?
Hugh M. Miller - Sidoti & Company, LLC: No, acquiring an asset management firm, which is something that you guys have talked about, just wondering if those discussions with the prospective people you'd like to kind of look at, have they changed at all given the dynamics of the equity flow market?
Paul C. Reilly: It's a double-edged sword. When things are down, people think it's not the right time to sell. So all their pricing comes in and when things are up, sometimes they want to get to the next level. So you always just have to find the right manager, the right culture, at the right time to sell. So we are very, we're very actively talking to a lot of people in general terms, haven't pulled the trigger, haven't found the right fit yet. But I'd say people are very open to talking. I don't think pricing has changed a lot but we're really just trying to find the right fit to add, for us to add. But I wouldn't say, I wouldn't see there any significant changes.
Jeffrey Paul Julien: The only thing I would say is that probably we are screening out more of the people we talk to simply because the track records don't meet the differentials that we'd like to see in terms of Alpha over longer periods of investment results. So that when we go through the screens of the people we're talking to, you see too much risk that a very short-term downdraft in performance would result in lost assets under management. And as a consequence, we have been very careful on that front.
Hugh M. Miller - Sidoti & Company, LLC: And I know that you guys have talked about within the retail segment the composition of fee-based generation on predominantly based on the prior quarter's balances. Could you remind us within the Asset Management segment how that competition is with regards to prior quarter versus current quarter?
Paul C. Reilly: About 2/3 of the assets are billed at the beginning of the quarter and their balance is split pretty evenly between average daily and then the institutional accounts are billed at the end of the quarter, which is why Asset Management showed a slight downtick in revenues because they were -- they did have a block of assets, their institutional accounts that were billed out at the end of the quarter in arrears as well as those on the average daily that went -- hurt a little bit versus the prior quarter as well.
Jeffrey Paul Julien: But we still had net sales growth. So essentially, it was offset and the factors weren't as large. And while you hesitate to ever mention market value -- market values are up 8% from the end of the quarter, too. So hopefully we'll get a new market at the end of March that will put us back where we were.
Hugh M. Miller - Sidoti & Company, LLC: And the last question I had was with regards to the bank and the Shared National Credit Program. Was wondering whether or not the loan portfolio expansion, is that really more indicative of pickup in demand or is it more a reduction in lending competition you're seeing possibly within that program and so that you're able to kind of get a lot of the greater percentage of the things that you're kind of wanting to lend to?
Steven M. Raney: It's Steve Raney. Just last quarter, approximately 65% of our new fundings were actually secondary market acquisitions. Most of which were add-ons to existing positions where we, at the initial primary syndication, where we may have, for example, may have committed 25 and we only got 10. Prices have come in a little bit the last quarter and we were able to add to some positions. Here, more recently in the last, I would say, 45 days, the primary markets have really slowed down quite a bit. But for the bulk of the September quarter, the beginning part of the quarter, the primary markets were pretty busy and then the second half of the quarter, we were adding the positions in the secondary market. So if prices once again had come down to more reasonable levels where before most loans are trading at a premium, we were able to add to some positions at slight discounts.
Paul C. Reilly: But still what we're are adding are in credits that will be subject to [indiscernible].
Operator: Your next question comes from the line of Devin Ryan with Sandler O'Neill.
Devin Ryan - Sandler O'Neill + Partners, L.P., Research Division: Just on the investment banking front, when we look at investment banking revenues, you guys had another strong quarter in what was really a tough environment. And then for all of 2011, revenues were up 50% in investment banking. So to me it's pretty clear, you guys have picked up market share and also were benefiting from a pretty diverse footprint. But I just want you to assess, is there anything else that you'd attribute the outperformance to? And when you think about banking and where you are currently versus where you think you could be in a more functioning market, do you still feel like there's a way to go from here?
Paul C. Reilly: There are a couple of factors, if you look at the year as a whole, certainly, our strength in the REIT and MLP space and energy were big factors in our year. Those markets picked up early and we did very well on them. So if you look on year-over-year performance, they were driven by those. We really believe that there is a lot of room for pickup as you still see. What I call middle-market IPOs never really hitting stride. We do have, with the Howe Barnes acquisition, significantly have expanded our big business and certainly the banking space with these prices, there aren't a lot of sellers and there aren't a lot of forced sellers either. So people aren't raising capital to buy and people aren't selling, given the pricing environment. But we believe that will come back. We've made a significant investment in technology versus acquisitions. We've acquired people and we believe we're well-positioned there. So we believe there's a lot of firepower and still, if you look at revenue per bank or in other things, a lot of room to grow in banking. For the quarter, the quarter looked probably a little better in banking than it really was. Two factors, again, M&A has been very strong. The Lane Berry acquisition has paid off extremely well. The people have integrated and are performing very, very well. Backlog looks good. We're continuing -- they're continuing to generate good numbers in the M&A space. But also, this quarter, we had a very, very strong unusually strong Tax Credit Fund. So when you add it all into banking, maybe banking was down a little more this quarter given the markets boosted by Tax Credit Funds. But in any normal, what I call whatever normal is, Tom promised me that this would be a fun business in a normal environment when I joined in '09, so I'm still waiting for that. Any kind of normalized environment, I think we have a lot of room for growth in Equity Capital Markets and we've made bets on people so I think there's positives ahead but we need the market there too to do it.
Devin Ryan - Sandler O'Neill + Partners, L.P., Research Division: And then just a follow-up on the financial adviser recruiting question that was just asked. Is there anything changing from an economic perspective in terms of what you're having to pay right now or do you see any signs of things changing maybe as competitors are pulling back just given how tough the markets have been?
Paul C. Reilly: Well, we're consistent. We're not the high payers on the street. Never have been, never plan to be. We pretty much held our front money, maybe it’s up slightly but we've kind of held and I think that maybe other people have come in and we're having advisers that just say the money isn't worth it, that they want to be in an environment that they're used to working in. So we'll see what happens with some of the bigger banks who are kind of leaders in the front money charge on the employee side and probably 1 independent firm has been a leader on the independent side in front money. We've been pretty consistent at kind of holding the line in what we consider as economic deal and fair pricing. So it hadn't gone away, maybe not as vicious as it was a year ago, but there are still people offering more money than we do for transition.
Devin Ryan - Sandler O'Neill + Partners, L.P., Research Division: And then just lastly, just a couple of quick modeling questions here. When we look at other revenues as you're now reporting them, are there any negative marks on investments there that depress that line item from maybe where how we should think about it going forward in a more steady market. That's the first. And then secondly, just on the COLI losses that impacted the tax rate, was there any other income statement impact from the COLI losses this quarter?
Paul C. Reilly: I think on marks there aren't any inherent build up in negative marks or positive marks outside of how those business are doing in private equity. So we mark them every quarter to what we think the values are. We try to do it conservatively but consistently. So I don't think there's anything that's imminent in the flow outside of how those businesses have performed.
Jeffrey Paul Julien: There are big marks up in the June quarter. As we talked about last time, that's what's making the comparison look funny. This quarter was more normal. There are also some negatives that flow in there. There are some OTTI impairments on some securities at the bank and things that are some, I call expenses, but losses that flow through other revenues as well. So that's why you had a negative number last year.
Devin Ryan - Sandler O'Neill + Partners, L.P., Research Division: And then just secondly on the COLI issue, was there any other income statement impact other than the impact on the tax rate?
Jeffrey Paul Julien: No, the revenue and expense line, revenue expenses net in the same line so it's just the tax impact on the revenue side that gets reflected, not on the expense side, which is why it swings. There's a gain or loss on the investment and then there's a comp expense on the other side, which net against one another.
Paul C. Reilly: And the difficult part I think for modeling for you all is if the market's up, you gain back that COLI and it reverses. So you're going -- the flows make it difficult when these markets gyrate the way they did last quarter.
Jeffrey Paul Julien: We model it flat starting the year. And then as we learn more about where the market's trending over the course of the year, we try to adjust it. And then with the COLI portfolio was up $12 million at the end of June year-to-date and up the year down $3 million. So that's a big swing for 1 quarter.
Operator: Your next question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Just a quick follow-up on the investment banking line, I mean thinking about it going forward, what should we sort of expect from this Tax Credit Fund? Is this something that we should be looking to try to model in on a more consistent basis or is it relatively lumpy?
Paul C. Reilly: Toms actually overseas that. I'll let him comment on that.
Thomas Alan James: In a general sense, over the longer run, the Tax Credit Fund business has grown relative to the competition. And we're either second or third largest originator of tax credit housing for CRA purposes mainly in banks, although the rate of return got high enough to attract in some insurance companies and other general corporations last year. So the volume we handled this last year was a record volume. Now prices have recovered, meaning the yield returns or rate of returns available to the institutions have dropped. And that makes it very difficult to know what this year's volume might be compared to last year. So in the short run, I would tell you, when they look at the numbers, they probably think last year was so good that they should budget down. The fact is that the investor interest that we see out there and the number of deals in the marketplace are large enough to sustain revenues. But you just can't tell because the investor waits to commit till they see what kinds of returns they can earn. And that's why you see such a dramatic effect toward the year end, because that's when they're really doing the transactions, especially after movements in price. But it's a much -- it's a much improved business here at the firm and as a result, it can have a material effect if they have a big quarter.
Paul C. Reilly: And I think, yes, that business is fund-based, so when the funds close, you get a little lumpiness. And so we had just a big quarter. So I wouldn't -- this would not be an average go-forward quarter. And again, I think the banking business is going to be dependent on the market. That's the hard thing looking at the quarter. Backlog is strong. We don't see companies withdrawing. They're just waiting and we get any kind of stabilization or stable growth in the market I think we're going to see a flurry of activity but I can't tell you if and when that will happen and that's the tough thing in that business right now.
Chester Bee Helck: Paul would tell you that the mandates aren't record highs. So there's plenty of activity in the channel in theory. It's just converting it to business.
Jeffrey Paul Julien: It's just on relative magnitude, the Tax Credit Fund business might be a $10 million to $15 million to $20 million pretax business for us over the course of a year so not something that's going to dramatically move the needle on the capital markets.
Paul C. Reilly: It was up 90% just last year so it did have an impact in the year but it will be up again next year.
Jeffrey Paul Julien: That business was on the brink and incredible enough, because they were 60% of the market, it has recovered.
Paul C. Reilly: They didn't need tax credits last year.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Just a quick modeling question for Steve, I know it sounds like the Allied Irish acquisition, as you were about to close or has closed. You talked about an additional provision last quarter, is that something we should expect in the current quarter?
Paul C. Reilly: With the closing of the bank, it will happen. Now the loans have not closed, subject to regulatory approval and that approval is really tied to the holding company approval. So that's why the delay. So if we do close on that package, there will be a provision for it, but that's what I call good provisions.
Chester Bee Helck: We're hopeful that happens toward the end of this quarter with everything in right now.
Steven M. Raney: We're looking until it's about $7.25 million that we had -- that number is still a good number to use for your model.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: And then can you just remind us, what's the remaining authorization on your stock buyback?
Paul C. Reilly: $50 million. You might think of that as more evergreen. We try to bring it back to that $75 million level a couple of times a year but deviates from that. It's really not. There's plenty of capital to buy back stock, it's just you don't get that opportunity to buy back lots at attractive prices. We hope we have the opportunity to buy more and we hope we don't. That's up to the market.
Operator: Your next question comes from the line of Daniel Harris with Goldman Sachs.
Daniel F. Harris - Goldman Sachs Group Inc., Research Division: [Technical Difficulty]
Operator: The next question is from the line of Douglas Sipkin with Ticonderoga Securities.
Douglas Sipkin - Ticonderoga Securities LLC, Research Division: Just had a couple of follow-ups. Maybe it sounds like the bank conversion is going to be happening real soon. Maybe Steve can articulate what are some of the benefits of this conversion for the Bank business for you guys?
Steven M. Raney: We've been really operating like a National Bank. Our balance sheet composition and the way we conduct our business is more commercial lending oriented. We're growing our residential business as well. But for all intents and purposes, the actual conversion itself will not impact the way we're conducting our business. We've been operating in that environment for the past few years. And as Paul mentioned, the OCC allowed us to not have to do the gross up at the end of the year, really reflecting how imminent the conversion should be at this point. So but no change in the business model at this point based on the conversion.
Douglas Sipkin - Ticonderoga Securities LLC, Research Division: But I mean there's some reason why you guys did it initially, right? Is it, it allows you to have more commercial loans, I think?
Steven M. Raney: That is correct, yes.
Chester Bee Helck: We've been doing that anyway and then making this test at the end of the year, do these balance sheet gross-up tests. But it would certainly preclude us needing to do that going forward. But they've even, this year, agreed we didn't need to do it even though we hadn't converted yet.
Douglas Sipkin - Ticonderoga Securities LLC, Research Division: So just looking at some of the larger banks and I'm not sure they're great comps, but there seem to be an indication that credit quality was improving but a slower pace, maybe flattening out. Your results, it looks like credit quality improved quite a bit. I was actually a little surprised with that. So I was hoping maybe you could comment on that and maybe just give a little color on the outlook. At least, obviously, the next 3 months or so.
Paul C. Reilly: I think, first, you got to look back. I mean we didn't have the credit issues that other banks had. We certainly had more than we would have liked. But if you benchmark our loan, our mortgage portfolio against industry numbers and our NIC exams and our C&I against industry comparables, we did very, very well. So I think you're seeing us business as usual. Our numbers don't show any releases of reserves. I mean we're just -- we're operating like we've always operated, except '09 we took a little more credit losses as the markets deteriorated. But I think, comparing us to those institutions with very different loan portfolios is not a good benchmark.
Chester Bee Helck: Just looking at some of the segments that we play in, our commercial real estate exposures have come down dramatically in the last couple of years and that's where most institutions had issues in addition to the residential portfolio. Our C&I commercial and industrial portfolio held up very nicely. We've had very strong credit performance in that segment of our balance sheet and in that business. But the project finance real estate and we virtually don't have any development in land and construction loans anymore. So we had a very benign quarter credit-wise in terms of our commercial portfolio and we actually did see some improvement in the residential past dues for the quarter. So in terms of the credit charges and the residential portfolio that was relatively stable. And the change quarter-over-quarter in terms of charge-offs and provision expense were related to, once again, a strong quarter in our commercial portfolio.
Douglas Sipkin - Ticonderoga Securities LLC, Research Division: And then just -- maybe just a clarification. I'm looking for just the exact details on the repurchase. Sounds like you guys repurchased just under 640,000 shares in the quarter, but then I heard 1 million shares now. I mean is the implication that you actually were able to repurchase shares in October?
Paul C. Reilly: Yes.
Steven M. Raney: Early October.
Paul C. Reilly: The 1,030,000 shares was since the beginning of this repurchase cycle through today.
Douglas Sipkin - Ticonderoga Securities LLC, Research Division: I got you. It's interesting guys, more companies, like, blocked out around the earnings time.
Paul C. Reilly: No, they weren't. I wouldn't actually announce that we refreshed and we were repurchasing stock. We weren't repurchasing this week if that was your question.
Operator: [Operator Instructions] And your next question comes from the line of Steve Stelmach with FBR Capital Markets & Co.
Steve Stelmach - FBR Capital Markets & Co., Research Division: Just real quick on the -- to revisit the provision, you gave some guidance in terms of dollar amounts, which is helpful. But provisions matching charge-offs seems appropriate given some of the trajectory of credits improving. But at what point does the allowance for loan losses as a percentage of loans sort of trough, I think coming down due to loan growth? At what level, Steve, would you like to see that number?
Steven M. Raney: I would think that we are anticipating some continued credit improvement over the next 12 to 18 months, so we would see that maybe trend down a little bit in terms of allowance to total loans. We would think that the provision expense for this quarter will hopefully be, as Jeff alluded to, tied more to growth than downgrades. But you're always subject to individual loans having some issues and you having to add reserves. But we would anticipate some slight decrease in terms of allowance to total loans occurring during the course of this year.
Steve Stelmach - FBR Capital Markets & Co., Research Division: Is anything on the loan mix going to influence as well or do you sort of like the makeup of the loan book right now?
Steven M. Raney: I think that the current mix is going to be relatively stable with the exception of the addition of the $500 million of the Allied Irish portfolio. When that closes. That's going to increase the commercial portfolio as a percentage of total assets. But we're trying to grow both our residential portfolio and our commercial portfolio in balance with one another.
Steve Stelmach - FBR Capital Markets & Co., Research Division: And then just real quickly on repurchase, did you -- I thought you [indiscernible]. Did you give a dollar amount or average share price the repurchases occurred at?
Jeffrey Paul Julien: There's $50 million remaining on the $75 million authorization.
Paul C. Reilly: $25.
Jeffrey Paul Julien: I think you can do the math.
Paul C. Reilly: The average is $25, just close enough.
Operator: At this time, you have no further questions.
Paul C. Reilly: Okay. Well, great. Appreciate talking, sharing this time with you. It's kind of a tough market. Here in St. Petersburg, as we see the sun rise in 70-degree weather, it's kind of hard to realize we're being impacted by what's happening in Greece in our markets, but I guess all the capital markets are right now. So our net-net business is well-positioned. We're optimistic medium- and long-term, short-term. And we're a little bit captive by the markets but we're going to continue to operate the business as we have for almost 50 years and continue to build it for the long-term. And we'll talk to you again next quarter. Thanks.